Operator: Good morning and welcome to United Continental Holdings' Earnings Conference Call for the Third Quarter of 2012. My name is Brandon and I'll be the conference facilitator for today. [Operator Instructions] This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Nene Foxhall and Sarah Murphy. Please go ahead.
Irene E. Foxhall: Thank you, Brandon. Good morning, everyone, and welcome to United's Third Quarter 2012 Earnings Conference Call. Joining us here in Chicago to discuss our results are President and CEO, Jeff Smisek; Executive Vice President and Chief Revenue Officer, Jim Compton; Executive Vice President and Chief Financial Officer, John Rainey; and Senior Vice President of Finance and Treasury, Gerry Laderman. Jeff will begin with some overview comments, after which, Jim will review capacity and revenue results. John will follow with a discussion of our cost structure, balance sheet and guidance. Jeff will make a few closing remarks and then we will open the call for questions, first from analysts and then from the media. We would appreciate if each of you would limit yourself to one question and one follow-up. With that, I'll turn it over to Sarah Murphy.
Sarah Murphy: Thank you, Nene. This morning, we issued our earnings release and separate investor update. Both are available on our website at ir.united.com. Let me point out that information in this morning's earnings release and investor update and remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. All forward-looking statements are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectation. Please refer to our press release, Form 10-K and other reports filed with the SEC by United Continental Holdings, United Airlines and Continental Airlines for a more thorough description of these factors. Also during the course of our call, we will discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the table at the end of our earnings release, a copy of which is available on our website. Unless otherwise noted, special charges are excluded as we walk you through our numbers. These items are detailed in our earnings release. And now, I'd like to turn the call over to Jeff Smisek, President and CEO of United.
Jeffery A. Smisek: Thanks, Nene and Sarah, and thank you all for joining us in our third quarter 2012 earnings call. Today, we reported net income of $520 million for the third quarter or $1.35 per diluted share, delivering a pre-tax margin of 5.3%. We achieved this result despite operational challenges and high jet fuel prices, and I want to thank my coworkers for working together to generate more than $0.5 billion of profit during one of the toughest quarters of our integration. I know it wasn't easy, but our recovery from a very tough summer exemplifies what makes United great: Our team working together to make our airline better for our customers. This quarter, we focused on improving our operational performance and investing in our fleet, our products and the tools our coworkers use to do their jobs. While we didn't do a good job with our operations during June and July, we took substantial steps during the quarter to improve our performance. On our second quarter earnings call, I told you that we were going to return to running a reliable airline by adjusting our airport staffing levels, returning to our historical standard for spare aircraft, increasing the number of maintenance hours and touch points for our aircraft and rolling out the first release of our new, faster and easier to use interface for SHARES, our passenger service system. We did all that and we are now running a reliable airline again. In September, our domestic on-time arrival rate was 82%, exceeding our goal of 80% and triggering an on-time bonus for our coworkers. Between July and September, our mishandled baggage rate declined by more than 30% and our mainline completion factor improved by 1.5 points to 99.4%. In addition to improving operational statistics, our customer satisfaction scores have increased significantly since our operational difficulties this summer. We made substantial progress with our integration during the third quarter and continue on the right path today. However, we recognize that some of our customers chose to fly other airlines during the summer when our operational performance degraded. Just like when your preferred road to work undergoes construction, you might choose to take a detour until the road gets repaired. Well, the road is repaired. And with our operations back on track, our unmatched global network and our industry-leading product offering, we expect to earn back those customers who took a detour and we expect to attract new customers as well. I am confident that we are building the world's leading airline, the airline customers want to fly, investors want to invest in and coworkers want to work for. One of our highlights this quarter was taking delivery of our first Boeing 787 Dreamliner, the first of 5 we expect to receive by the end of this year. We couldn't be more excited about the benefits this aircraft will bring to our customers and the airline. The Dreamliner offers fuel efficiency, noise reduction and a terrific onboard customer and coworker experience. We're in the process of completing our FAA proving grounds and certification work and are pleased with the Dreamliner's early operating performance. We will fly our first revenue flight on November 4 from our Houston hub to our Chicago hub. In December, we'll begin flying our first 787s internationally on temporary routes, and in January, we'll place the aircraft on their first permanent routes, Los Angeles to Narita, and Houston to Lagos. We continued investing in our onboard product this quarter. We recently completed installation of global satellite-based Wi-Fi on our first aircraft. We're undergoing final quality and acceptance testing and expect the aircraft will be up and flying with Wi-Fi in November. Our new Wi-fi won't be like the prior generation Wi-Fi that you find on our U.S. competitor's aircraft. Our Wi-Fi is modern, global and satellite based, and as a result, will offer speeds consistently faster than what's available in the market today. Because it is satellite based, our customers will be able to stay in touch virtually wherever they fly us around the globe, a key differentiator between us and our competitors. In addition to investing in Wi-Fi with better technology than that of our peers, we're taking a different commercial approach to Wi-Fi as well. We own the hardware, purchase the bandwidth and importantly, own and control the portal that customers use to access the Internet in-flight. Ownership and control will allow us to develop a comprehensive and dynamic pricing model for Wi-Fi and onboard streaming video, grant complimentary access to sites of our choosing and establish a wide array of commercial agreements, increasing the long-term opportunities for and value of onboard Wi-Fi to United. Since our mainline fleet is so large with about 700 aircraft, it will take us some time to install this industry-leading Wi-Fi product across our entire fleet, but we anticipate completing about 300 aircraft by the end of 2013. We continue to invest in products that our customers value and are willing to pay for, including Economy Plus seating and international premium cabin flatbed seats. United has a history of leadership when it comes to innovative seating products. As of today, we've installed Economy Plus seating on 90% of our mainline fleet and we expect to complete our Economy Plus installation in early 2013. We've installed more than 6,200 premium cabin flatbed seats on our international fleet. And by February of next year, every aircraft flying over the Atlantic will have flatbed seats in the premium cabin. Moreover, our entire long-haul international fleet worldwide will have flatbed seats next spring. We are committed to investing in our coworkers and providing them the tools to give good customer service. As I mentioned earlier, we've recently launched a new interface for our SHARES system with 2 powerful and intuitive apps for our coworkers to use, one for checking in customers and their bags and one for managing departures at the gate. We have a number of additional releases and development. And by next year, we expect to have a fully integrated user interface for our lobby and gate agents that is fast, intuitive, modern and easy to learn and use. This quarter, we reached an agreement in principle for a joint collective bargaining agreement with our pilots and are in the process of finalizing the tentative agreement. This will be our first joint collective bargaining agreement and we're eager to make similar progress with our other work groups. We are currently in expedited negotiations for joint collective bargaining agreements with the IAM, which represents our airport employees, reservation agents and stores employees, and with the Teamsters, who represent our maintenance technicians. We've also begun the joint collective bargaining process with the AFA, which represents our flight attendants. We want to bring our work groups together and pay our people competitively, while increasing our ability to respond to market conditions to ensure United can achieve long-term success, regardless of the economic environment. We are making these and other investments in our fleet, our technology, our products and our people to provide a better customer experience on United and a better workplace for our coworkers, as we focus on generating sustained and sufficient profitability. This quarter, we announced a target of earning a 10% return on invested capital over the business cycle. While there may be periods during the cycle where we won't hit our target, the entire management team is committed to achieving this goal, and we're embedding return on invested capital in all of our important business decisions. While our merger creates the platform for United to generate economic value over the business cycle, we recognize that our future lies beyond the merger. We have many projects in the works that will improve our customer service, add revenue, enhance efficiency, reduce costs and provide the returns our investors expect. During the third quarter, we made progress in building the foundation for our future. Although we are focused on achieving much more, we earned a respectable profit despite high fuel prices and complex integration challenges. We had a tough summer. But we're back on track operationally and are again providing the reliable service our customers expect of us and that we want to deliver. We have more work to do to secure United's leadership position and achieve our long-term financial goals, but I'm certain that my coworkers are up to the challenge. With that, I'll turn it over to Jim and John to go through the results in greater detail.
James E. Compton: Thanks, Jeff. I join Jeff in thanking our coworkers for their hard work during a challenging quarter and also want to thank our customers for choosing to fly United. We continued our commitment to capacity discipline in the third quarter as we reduce consolidated capacity 1.4% year-over-year. Maintaining capacity discipline is core to achieving our goal of generating sustained and sufficient profitability, especially in an environment of sluggish economic growth and elevated jet fuel prices. And we will continue to be very disciplined in our capacity deployment. United's third quarter consolidated passenger unit revenue decreased 1.3%, and mainline PRASM decreased 2% versus the same period in 2011. Consolidated yields were weaker year-over-year, down 1.2%. We recognize that while the industry as a whole faces largely the same global economic challenges, some of our recent relative year-over-year PRASM underperformance is related to issues unique to United because of our merger integration. Over the past 2 quarters, we converted major IT systems used by both our customers and our coworkers, and redeployed aircraft across our global network. These changes affected our customers, put a great deal of stress on our operation and our people, and our operational and financial performance suffered as a result. As Jeff outlined, we are back on track with our operational results and much improved customer satisfaction scores. We expect to continue to run a reliable airline while offering our customers the products and services they want and are willing to pay for. As for our revenue results, we are not satisfied with our relative year-over-year PRASM performance, and we are working hard to return to our industry leadership position. Third quarter domestic mainline PRASM decreased 4.2%, and yields decreased 2.6% versus last year. Domestic mainline capacity decreased 1.7% year-over-year. Regional PRASM increased 1.6% while regional capacity decreased 1.1% versus the third quarter of 2011. Third quarter international unit revenue was flat versus the same period in 2011, and yields decreased a modest 0.7% year-over-year. International capacity decreased 1.1% versus the third quarter of 2011. The Pacific was United's best-performing region in the third quarter, with unit revenue up 9.9% and yields up 7.2% versus the same period in 2011. Pacific capacity increased 1% year-over-year. China was the top-performing Pacific country with approximately 11% PRASM growth and 8% yield growth versus the third quarter of 2011. Japan continued to perform very well in the third quarter as PRASM and yield increased 6% and 5%, respectively, on capacity growth of 8% year-over-year. We are excited to start flying our Dreamliners across the Pacific beginning in the first quarter of next year, with Los Angeles to Narita and Los Angeles to Shanghai followed by Denver to Narita. Our trans-Pacific network is unmatched with more nonstop routes between the U.S. and Asia than any other carrier in the world. Third quarter trans-Atlantic PRASM decreased 4.5% and yields decreased 3.7% year-over-year. We reduced our trans-Atlantic capacity during the third quarter by 3.7% year-over-year. We've been affected by the economic challenges in Europe, and the majority of our previously announced fourth quarter capacity reduction is to our European service. One of the most important benefits of our merger is our ability to reduce capacity in weaker markets like the Atlantic and take advantage of stronger markets like the Pacific, as economic conditions change around the world. Latin America again faced very challenging year-over-year comparisons this quarter. Last year, Latin America PRASM and yields increased more than 20% versus the third quarter of 2010. This year, Latin America third quarter PRASM declined 8.3% and yield declined 9.4% with a capacity increase of 1.6% year-over-year. On a year-over-2-year basis, however, third quarter Latin America PRASM and yield are up approximately 11% and 10%, respectively. Third quarter cargo revenue declined 13% versus the same period last year. The cargo business continues to struggle because of increased industry cargo capacity and the impact of our aircraft redeployment, which changes the amount of cargo space available throughout our network. Our ancillary revenue increased 1% year-over-year this quarter. As we reduced capacity and in turn have fewer employments, our checked bag and change fee revenues decreased. Counterbalancing that effect is other ancillary revenue. Seat upsell revenue, which includes Economy Plus and paid premium cabin upgrades grew more than 25% year-over-year. Economy Plus sales increased 20% this quarter, in part due to having more Economy Plus seats available on our subsidiary, Continental, aircraft and in part from leveraging our ability to dynamically price Economy Plus using SHARES. Third quarter sales of paid premium upgrade, which is our product allowing customers to purchase access to the BusinessFirst or global first cabins, increased about 50% versus 2011. SHARES provides us a much more powerful platform to dynamically price Economy Plus, paid premium upgrade and other ancillary products. We know our customers value more space when they travel, and we're pleased to provide them with the seating options they want and are willing to pay for. Corporate revenue increased modestly this quarter. And I'd like to take a moment to thank our corporate customers for their loyalty. Although some customers flew other carriers during the height of our operational challenge this summer, the vast majority of our global corporate account clients chose to stay with United. They had confidence in us, and we work hard to improve our reliability and deliver for them. Now with our better reliability, our unmatched route network and improving product offering, we are confident that United is the best airline for the global business customer. In September, we expanded our aircraft redeployment effort across our domestic network, particularly at our hubs in Chicago, San Francisco and Washington, and are encouraged by the early results in a number of these markets. We are phasing in redeployment more gradually than we initially planned to ease some of the stress on our operation and now expect substantially to complete our redeployment effort in the first quarter of 2013. Redeploying aircraft not only helps us improve financial performance on individual routes by better matching the right aircraft to demand, it also allows us to initiate new service to a number of destinations that neither subsidiary served prior to the merger. Since the closing of the merger 2 years ago, we've added more than 70 new routes across the globe while reducing consolidated capacity. In part due to the slower than expected redeployment rollout, our revenue synergy realization has been slower than we initially targeted. Now that we restored our operational performance to expected levels, we're confident that revenue synergies will accelerate in 2013. And we remain confident that we will achieve the full $800 million to $900 million of run rate annual revenue synergies we identified at the beginning of our merger. Based on the latest GDP revisions and global economic conditions, we expect some softening of the economy during the remainder of 2012. And the strength of any recovery in 2013 remains unclear. As a result of this uncertainty, last month, we announced a reduction to our expected remaining 2012 consolidated capacity. We now expect fourth quarter 2012 consolidated capacity to decrease between 2.2% and 3.2%, and our full year consolidated capacity to decrease between 1% and 1.2% year-over-year. In September, we also announced a reduction to our 2013 capacity plan. We now expect our full year 2013 consolidated capacity to be down about 1%. Appropriately matching supply and demand is critical in achieving our long-term return target of 10% on our invested capital, and we are committed to maintaining capacity discipline to help us achieve our goal. Turning to our near-term revenue outlook. We currently estimate United's October consolidated PRASM will be roughly flat year-over-year. With that, I'll turn the call over to John.
John D. Rainey: Thank you, Jim. Today, we reported net income of $520 million and a pre-tax margin of 5.3%. I want to thank the entire United team for their effort and contribution to our results this quarter. An integration of our size and complexity takes considerable time and creates a lot of change for our customers and for our coworkers. That said, we are starting to see many improvements from our merger: a new narrowbody aircraft order, service to new markets, industry-leading Wi-Fi and a new, modern user interface for our SHARES system. During the quarter, I announced United's long-term return on invested capital target of 10% over the business cycle. 10% is the right starting threshold for us, as it's above our cost of capital and is a return level we have not consistently achieved at any point in our history. Our goal to create economic value runs throughout the organization. And while it is a challenging goal, we are focused on achieving it by working together. Since closing our merger 2 years ago, our return on invested capital has been 10.2%. For the 12 months ended September 30, however, our return on invested capital was 9.3%. We are not satisfied with the recent compression of our financial performance and we are taking action to improve it. Moreover, the composition of our shareholders, the owners of our company, has changed over time. Many of our owners today have invested in our stock because they recognize the transformation taking place in this industry and the potential for value creation that exists uniquely at United. They expect us to earn our cost of capital and for us to manage the business accordingly. We are identifying opportunities to improve our cost structure by sourcing services from the best providers, operating more efficiently than we do today, investing in technology that gives our customers more control over their travel experience and resizing our footprint for the airline we are today and will be tomorrow. Third quarter total operating expense increased 0.9% or $79 million year-over-year. Fuel costs increased 1% this quarter and accounted for nearly half of the year-over-year increase in operating expense. Cost control and efficiency are essential to our long-term success, and our third quarter performance reflects our efforts in this area. We are becoming less reliant on manual processes and finding new ways to increase revenue and reduce cost through technology and doing it in a way that provides higher customer satisfaction while making the day-to-day work for employees more gratifying and productive. Third quarter consolidated CASM, excluding fuel, third-party business expense and profit sharing, increased 3% versus 2011 on 1.4% less capacity. On a fuel rate and profit-sharing neutral basis, third quarter consolidated unit cost increased 2.5% year-over-year. The impact of cost synergies can be seen in our CASM performance this quarter. Some examples include facility consolidation and harmonization of engine and component maintenance programs. While we have captured cost synergies faster than we originally expected, we do anticipate a number of headwinds, including the cost of joint collective bargaining agreements that will put some pressure on our unit cost next year. We effectively managed cost this quarter while making prudent investments in our business with an eye for improving our customers' experience. In addition to installing Economy Plus, flatbed seats and satellite Wi-Fi, we are adding larger overhead bins on our Airbus aircraft, improving the food, beverages and amenities in our international premium cabins and building a new United Club and adding jet bridges at Chicago O'Hare's Terminal 2. We will make the right long-term investments for our business that will deliver benefits to our customers, coworkers and the bottom line. We continue to make progress in strengthening our balance sheet in the third quarter, making $487 million of debt and capital lease payments, including $104 million of prepayments. This quarter, we paid off our 2 most expensive pieces of debt totaling $251 million with an average interest rate of over 12%. At the end of the third quarter, our net debt totaled $12.5 billion or $16.7 billion, including our pension liability. Our unencumbered asset base at the end of the third quarter was approximately $2.7 billion. In September, we issued a EETC with $844 million of proceeds. This transaction will finance 21 aircraft in total: 3 787 Dreamliners and 18 737-900ERs, which will be delivered between this November and July of next year. The A tranche of this EETC priced at a 4% fixed coupon and the B tranche priced at 5.5%, resulting in a blended coupon of 4.16%, the lowest rate in history for an issuance of this kind. While we are focused on reducing our net debt balance, financing aircraft through capital markets remains a prudent and cost effective use of debt. We ended the third quarter with $7.2 billion in unrestricted liquidity, including an undrawn credit facility of $500 million. In the 2 years since closing the merger, we have strengthened our balance sheet considerably, making $4.6 billion of debt and capital lease payments, maintaining a strong liquidity position, including the addition of a revolving credit facility and increasing our unencumbered asset base by $1.7 billion. We still have a significant amount of debt maturities and capital lease obligations over the next few years. And while we would like to pay off all the instruments as they come due without refinancing, we will make the right decisions for the business based upon the economic environment at that time. Gross capital expenditures were $412 million in the third quarter, and net capital expenditures were $222 million. We are reducing our fourth quarter capital spending from previous expectations and now project full year gross capital expenditures to be $2.25 billion or $1.15 billion net of expected financing. During the third quarter, we took delivery of 3 Boeing 737-900ER aircraft and the first of our 787 Dreamliners. We removed 3 Boeing 737 Classics and 1 Boeing 757 from service during the quarter. In the fourth quarter, we expect to take delivery of 4 more Dreamliners and 6 Boeing 737-900ERs. We expect to end the year with 3 fewer mainline aircraft than we started with the total of 698 aircraft. We expect our full year 2012 consolidated unit cost, excluding fuel, profit sharing and third-party business expense, to increase 2.7% to 2.9% year-over-year. Notably, we have modestly lowered our full year cost guidance, even while twice reducing our expected 2012 consolidated capacity. We expect our fourth quarter 2012 consolidated unit cost, again excluding fuel, profit sharing and third-party business expense, to be up 3.5% to 4.5% year-over-year. Our third-party business expense was approximately $55 million in the third quarter and is projected to be $250 million for the full year. In closing, we made over $0.5 billion of profit in the third quarter with good cost control and a stronger balance sheet, yet our performance fell short of our expectations. We've laid much of the -- we've laid much of the foundation for our future to recognize that we still have a significant amount of work ahead to realize our potential. United has the very best assets in the business, the best network for customers, a strong pipeline of new products and services, efficient aircraft and professional employees dedicated to our customers, from which we will build the world's leading airline that creates economic value over the business cycle. With that, I'll turn the call back over to Jeff.
Jeffery A. Smisek: Thanks, John. Our merger has resulted in a lot of change for our customers and our coworkers, and I know that the road has been a tough one. However, we are laying the foundation for the world's leading airline. Many of the investments we've been talking about will become visible to our customers and our coworkers in 2013, and we are very excited about delivering the airline our customers want to fly, our investors want to invest in and our coworkers want to work for. I'll now turn it over to Sarah to open up the call for questions.
Sarah Murphy: Thank you, Jeff. First, we'll take questions from the analyst community, then we will take questions from the media. [Operator Instructions] Brendan, please describe the procedure to ask a question.
Operator: [Operator Instructions] Our first question comes from Jamie Baker from JPMorgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: A question for Jeff or, I don't know, maybe Mike Bonds, if he's there. It does appear that you're making substantial progress on a pilot contract. Most of the language coming out of the pilots suggest that terms are largely in line with the new Delta deal. But what's unique about the Delta contract is that there are some Delta-specific offsets to what otherwise appears to be an expensive contract, a decline in 50 seaters, subleasing the 717s, more large RJs and so forth. So I'm not asking you to comment on where your wage rates ultimately settle out. I can make my own assumptions. But can you give us some color as to potential United offsets that might benefit you? I mean, you're not looking for 717s. You already have a lot of RJs. What can you pick up to potentially offset a several hundred million dollar dyssynergy?
Jeffery A. Smisek: Hey, Jamie, this is Jeff. Listen, we're subject to a gag order from the NMB, so I can't comment on it. I think that the terms of the contract will be, in their entirety, will be coming out relatively soon. I will tell you, though, that we believe this is a very competitive contract for us.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Well, competitive in what sense? I mean, the NMB doesn't gag you, Jeff, with all due respect, from throwing out a wish list of items that you would like to have.
Jeffery A. Smisek: No, I'm not -- Jamie, I'm just not going to go there. We're not -- I'm not -- there's no reason for us to get on the wrong side of NMB right now, and we're not going to do that.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Okay, so it comes down to trust us. All right, I'll try to live with that.
Operator: From Deutsche Bank, we have Michael Linenberg online.
Michael Linenberg - Deutsche Bank AG, Research Division: John, I want to go back to the CapEx number. You talked about that number coming down. What was that number previously? And I do see in the fourth quarter, it does look like that -- some of the net purchase deposits, it looks like they're either being refunded. Is that -- what's that tied to? Have you pushed back some aircraft deliveries? Can you just -- can you run through that?
John D. Rainey: You're right. And we did have a swing in purchase deposits in the third quarter. We had almost $200 million there. That's just tied to the timing of aircraft deliveries. In total, I would say that we recognize in advance that this year was a bit of a bow wave with respect to capital spending for us. You'll see some of that bleed into next year. But we certainly want to get back to a more normalized level of capital spending over time.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, good. And then just my second question. I did see that it looks like in the fourth schedule, you're adding some service to some -- it looks like additional service to Heathrow, at least I think it's incremental out of Dulles and Houston, or maybe it's reallocating some other flights. If it is incremental, are those -- are the slots for that -- are those slots -- have you purchased those slots like you have in the past? Or are those slots being leased, if it is incremental?
James E. Compton: Mike, in terms of -- in Heathrow, it would -- what -- I guess I'm trying to zero in on what period you're thinking about or are looking at.
Michael Linenberg - Deutsche Bank AG, Research Division: I think it's in the spring, where you're adding another flight from Houston to Heathrow and another flight from Dulles to Heathrow.
James E. Compton: Yes, so the -- what we have in there incrementally is a third trip on Houston to Heathrow at that time period as we put 3 767s into the market.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay. Is that an incremental slot? I guess -- because in the past, you purchased slots, and slots typically come...
James E. Compton: Yes, it's an incremental slot that we've been able to hold on to.
Operator: From Dahlman Rose, we have Helane Becker online.
Helane R. Becker - Dahlman Rose & Company, LLC, Research Division: Just a couple of points of clarification with respect to -- I think you said on the pilot that you were in negotiations or finalizing language. Do you have a timetable of when that's done?
Jeffery A. Smisek: Helane, this is Jeff. Yes, we're finishing up the wording on the tentative agreement, and we anticipate that the tentative agreement to be out quite soon.
Helane R. Becker - Dahlman Rose & Company, LLC, Research Division: Okay. And then just one quick follow-up on average fare for the mainline. It's kind of like flattish year-on-year. I mean, are you seeing evidence that you can push that higher looking out to fourth quarter and next year?
James E. Compton: Hey, Helane, this is Jim. Obviously, we can't comment on future pricing. Although last week, we did increase domestic fares $2, $3, $5 one way that, ultimately, at the end of the week, the industry matched. So we're always looking at the demand capacity and how that's -- and then pricing relative to kind of that demand capacity level in terms of where it sits.
Operator: From Wolfe Trahan, we have Hunter Keay online.
Hunter K. Keay - Wolfe Trahan & Co.: A couple of questions for John, I believe. John, I appreciate the commentary about your shareholder base. I think that's right in terms of the people sort of waiting around for this transformation. So as your ROIC has started to lag little bit your target, why not give some thought to giving them some money to stick around? And by that, I mean, I understand the value of deleveraging the balance sheet. But if you look at just from an academic perspective, the fact that your cost of debt is about 1/3 of your earnings yield and you have a lot of cash in your balance sheet to play with, why not think about maybe initiating a buyback with, say, 100 -- I mean, $1 billion or so? Because of the simple math that exists between rewarding equity holders and the accretion that should basically impact your EPS from the earnings yield versus the cost of debt, which is now, again, at this point, about 3x higher. Or is it more just let's get the balance sheet in order first before even thinking about returning cash to equity holders?
John D. Rainey: Well, Hunter, I think that, first of all, it is something that we think about. We need to get to a point in this business where we are directly returning cash to shareholders. I don't think we're there yet. If you look at the progress that we've made over the last 3 to 4 years, reducing our net debt balance, it's decreased by almost $4 billion. But as pure financial theory would suggest, our equity values probably should've gone up as well and they haven't, haven't for us and they haven't for the industry. And so that suggests that there's still some instability, at least the market believes that, in our capital structure today. So I think, in terms of prioritization, we need to continue to improve our balance sheet. We need to get rid of a lot of the debt that is the chain around our neck, that it's non-aircraft debt. And we've got a significant opportunity at United. We've got about $3.5 billion of debt maturities over the next few years that have nothing to do with financing aircraft. I think as we begin to improve and strengthen our balance sheet, and then I think you should see earnings multiples improve in this business. We would have hoped we would have already seen it because we think we made significant progress. But once we take care of those things, I then think that you can have a more serious discussion about a share buyback or beginning to distribute a dividend.
Hunter K. Keay - Wolfe Trahan & Co.: Okay. All right. And on fuel, without advocating for a policy, you look at US Airways and they're going to pay the cheapest for jet fuel per gallon, again, for anybody. I think that's like 4 over the last 8 quarters. At what point do you think that stops becoming a fluke? And at what point do you think that, that is a legitimate trend that has a merit, that's something worth considering? I mean, is there going to be a saying like, "Okay, we need to look at -- we need to make sure this happens for 3 years, or we need to make sure this happens for 10 years." I mean, at what point does it stop becoming a fluke, if it continues to happen?
John D. Rainey: Well, first of all, let me say I agree with the underlying premise of your question. It would be great if we could get to a point, as an industry, where we could better pass along our cost inputs, particularly fuel being the single largest expense that we have. We're unlike some of the other industries that people are quick to compare us to in terms of rail and freight, in terms of how far out we sell tickets. And we're exposed to that fuel price volatility. I think hedging is one of those things where it's -- there's perfect visibility in hindsight. We had over $500 million of hedge gains last year. I think, if you're comparing to U.S. Airways, a couple of things I'd point out. One is that there are geographic differences with respect to where we buy fuel. We have 50% of our capacity that's international. We buy a lot of fuel on New York Harbor and on the LA, which is much more expensive than Gulf Coast jets. So on just a pure unhedged basis, we're always going to have a bit of a premium to them, but we would think that we would also get a revenue premium by serving those markets. But in terms of what we're doing from a hedging perspective, we are thoughtful about this, and we recognize that, historically, we spent a couple of hundred million dollars a year in hedge premiums. And given what's happened to fuel more recently, we try to achieve the same amount of risk management but by spending less premium, and that's why you've seen our hedge policy or our actual instruments change a little bit over the last few years. But I think it's important for us to continue to protect against some of the short-term volatility. So absent the ability to pass along our fuel surcharge in the very immediate term, we're going to continue to hedge.
Operator: From Morgan Stanley, we have John Godyn online.
John D. Godyn - Morgan Stanley, Research Division: Jim, as we look forward, I think one of the things that's sort of unique about United is how easy your comp is in December. Is the right framework to be thinking about the world and sort of holding macro constant and so on and so forth? Is the right framework here that as we lap that comp, there's going to be sort of a natural mathematical significant reacceleration in PRASM? Or are there some sort of noneconomic puts and takes that I should be thinking about in December?
James E. Compton: Hey, John, this is Jim. You're right. As we -- if you went back to the -- our first quarter earnings call, we talked about some of the issues that we faced in the first quarter and also in December, for instance, as we integrated 2 revenue management systems and we talked about some yield degradation in the month of December. So that, to your point, is clearly out there on a year-over-year basis. I would tell you that those systems have matured now, now that one source of data versus 2 systems beating the demand forecast and so forth. So that has matured and that is operating at a much higher level than what we were talking about in the first quarter. In terms of getting down to other specifically outperform -- I'm reluctant to talk about that. We recognize that we're not satisfied with our revenue performance in the third quarter, that we had dyssynergies. And quite frankly, we know that we're working really hard to get those synergies back. And so there's the timing. We're obviously very confident that we will, but that timing -- so it just makes it hard for me to comment on saying a specific timeline we would begin to outperform. But clearly, the things that you talked -- that you mentioned and I just talked about happened in December and the first quarter.
John D. Godyn - Morgan Stanley, Research Division: Okay, that's really helpful. And John, if I could ask a question about cash flow in 2013. In 2012, you had a number of sort of onetime items that were cash hits that kind of depressed the cash flow profile integration, some of this stuff recently announced with labor. As you look into 2013, it seems like some of these should roll off very naturally and create a pretty big tailwind for cash flow. Outside of the PBGC issue, am I on the right track? Or are there things in 2013 I should be on a lookout for?
John D. Rainey: I think you're absolutely on the right track. If you look at our initial guidance with respect to the onetime integration expenses, we've realized a lot of those already, and I think you would expect to see those wind down appreciably next year. That said, we still have to achieve some labor agreements and there are a few other blips out there. You mentioned the PBGC. No, but that's noncash. So I think in a directional sense year-over-year, definitely, you would see a stronger cash flow next year as it relates to some of the onetime items.
Operator: From Barclays, we have David Fintzen online.
David E. Fintzen - Barclays Capital, Research Division: I have a question for Jim. And I know there's obviously a lot of noise in the data in terms of your on-time performance and some of the systems integration. But I'm curious, as you're starting to put in some of these aircraft -- some of the moving aircraft around is sort of hitting the results, just curious, how do you think about the sort of spool of those benefits? I mean, is there -- is it pretty front-end loaded when you make these network changes? Or is there a time lag we should be thinking about to sort of get some history into the revenue management systems and really optimize the outcomes?
James E. Compton: I think the -- it depends on the case that we're talking about. Clearly, if you redeploy and you're putting capacity that's greater than what was in that market before, there's a little bit of a new market spool-up that is applied to that. So there is a timing issue to that. And it's different by every market, David. So it would be hard to kind of talk about it at that one point. On the other hand, obviously, we redeploy aircraft where the demand is not as great and we get the smaller aircraft on that route and the returns are immediate. So it's a little bit mix of both. I think, as I mentioned in my comments, we started to do a nice step-up in redeployment in the month of September. And at the same time, ran an 80% on time with the great work by the operations team in reliability. And so as we kind of -- although we've slowed down that pace of redeployment, as we continue to finish that up in the first quarter of 2013, we do expect those benefits would accelerate in 2013 under redeployment as we've now got the reliability back on track.
David E. Fintzen - Barclays Capital, Research Division: Okay. And then just on the redeployment side, if memory serves, it was -- it started more domestically oriented and that was going to shift more international into next year, is what I recall. I'm just curious, I would presume some of the international would be slowed down as well.
James E. Compton: Yes, that's somewhat although we've been doing both, quite frankly. Houston-Lima is a very early redeployment aircraft. New York to Buenos Aires -- we moved aircraft out of Dulles. And so -- but you're right. And then also, there's been a lot of domestic redeployments with the 737-900s and next-gen airplanes moving to the West Coast and getting on some longer haul markets. So it's a little bit mixed bag of both, but there will be more of both as we kind of accelerate in 2013.
Operator: From Buckingham Research, we have Dan McKenzie online.
Daniel McKenzie - The Buckingham Research Group Incorporated: On the corporate travel book away that resulted from the operational difficulty, how much of that impact PRASM exactly in the third quarter? Or if you don't have that, how much are we really talking about? And I was getting pulled away from the call, so I apologize if you already gave that to us.
James E. Compton: We haven't put a dollar figure on that. Clearly, internally, we know where we expect to be from a revenue performance point of view. And so really, quite frankly, right now, is our sales force throughout the process and currently is working with our corporate partners, our business travelers to, one, talk about the value of the network in light of the new reliability and so forth. So there's a lot of moving pieces as we move to December. So it would be hard to put a specific number on exactly what that is. But clearly, it was a negative number for us in the third quarter.
Daniel McKenzie - The Buckingham Research Group Incorporated: And material, I guess, maybe that's the point. The fact that you're talking about it is...
James E. Compton: Yes.
Daniel McKenzie - The Buckingham Research Group Incorporated: Suggests that it's a pretty big number, at least, right?
James E. Compton: It was a significant number.
Daniel McKenzie - The Buckingham Research Group Incorporated: Okay, fair enough. So I know you're not ready to comment a whole lot on 2013 capacity, but I am seeing seats for the first quarter down significantly more, down -- have been down the 1% that you folks are guiding to for the year. And I'm just wondering, since the data is public, I'm wondering if you can help us understand how first quarter capacity ties to the full year outlook and also just a little bit about the thought process behind that.
James E. Compton: Hey, Dan, as we've guided, the full year 2013, we're guiding toward 1% decline in capacity. As we move through the fourth quarter and into December, we'll give a lot more firmer guidance on that first quarter capacity. But at this point, we're guiding towards 1% decline and that's kind of where we're at for the full year and 2013 right now.
Operator: We have time for one last question and it comes from Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Question on the operational improvement since July. How do you measure the underlying trend adjusted for changes in utilization? It seems like we've been in a less demanding utilization period here in September, October. So how do we think about the underlying trend as you prepare for a seasonally stronger period late this quarter?
Jeffery A. Smisek: Duane, this is Jeff. No, that's fair. I mean, it's -- it also depends on lots of sort of random events, as well as weather. But we're very focused on making sure that we can maintain our operational reliability during periods of more stress, holiday periods, certainly going into next summer as well. We continue to take actions to make sure that we are prepared for that and that we're prepared to continue to deliver on reliability.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And if I could just ask a follow-up with respect to systems. I assume no airline is ever truly done with systems upgrades, but in terms of high-profile IT integration projects, what is left to be done? And can you give us a sense of timing?
Jeffery A. Smisek: Sure. We have a very big project that will come up in terms of integrating our aircraft maintenance systems. We're going to do that over -- on a fleet-by-fleet basis over a considerable period of time. It's a monumental project, and it's a multiyear project. We also have to integrate our HR systems as well and we have other systems that, as you said, they just continue on and on. So we'll continue to have it. None of those systems, however, has the high profile of our passenger service system, our SHARES system, which powers not only everything that the customer does, but our website and our loyalty program as well, which is a massive system, nor does any of those require the level of retraining that the SHARES system did. So my judgment, we're over the really tough hurdle of IT, but there's a considerable amount of IT. And I will tell you that putting the 2 maintenance systems together is going to take a considerable period of time, and it is a monumental task. But that can be staged on a fleet-by-fleet basis over a considerable period of time, that's a multiyear project.
Operator: Ladies and gentlemen, this concludes the analyst and investor portion of our call today. We will now take calls from the media. [Operator Instructions] Our first question comes from Susan Carey from Wall Street Journal.
Susan Carey: I'm not sure who might want to answer this question. Just wondering if you guys can walk me through the $454 million special item relating to the pilots' tentative. I'm just trying to understand what that is. Is that just like a date of signing lump sum payments? Because you're mentioning $250 million in late this year or in early '13 as a starter. So I'm just trying to understand what exactly this is.
John D. Rainey: Susan, this is John Rainey. As Jeff mentioned, we have a gag order imposed on us by the NMB, so I can't speak with a lot of specificity to this. What I can tell you is that it's, I would say, common in agreements like this to have an upfront payment. Some of that is contingent upon certain hurdles that will be achieved after the contract is signed. And we would expect the cash flows actually come towards year end and into next year.
Susan Carey: Depending on hurdles achieved by the company or by the pilots?
John D. Rainey: By the pilots, just in terms of getting the contract done and integrating.
Susan Carey: Okay. And can I just ask then, are we going to be seeing accruals for other unions in subsequent quarters?
John D. Rainey: To the extent that we think we're going to have a labor agreement, that will be -- and there's a cost, upfront cost to that, that will be built into our forward-looking guidance. But I will say, Susan, that this is a significant step forward for us. The pilots are a very visible group and they're a very important part of our airline. This is a group that's gone some period of time without getting a pay increase, and I think paying our labor groups competitively is important to our philosophy as a company. And we're actually pretty excited about the significant step forward.
Operator: And our last question comes from Josh Freed from the Associated Press.
Josh Freed: Can you say anything more about what your plans are for getting back travelers after the hiccups this summer? I mean, do you have sort of specific, targeted, I don't know, promotional-type things that you're planning to do? Or is it more sort of cross your fingers and hope that they're expected back by the things that you're obviously hoping to make here [ph] and attract? Or do you have something that's really specific that you can call out, that you're hoping will sort of get you back on the good side?
Jeffery A. Smisek: Josh, I'll let Jim join in a minute. But I will tell you, no, it's not cross your fingers. We're being very active. We're making -- all of our sales people are deployed and making sure that our customers understand that our reliability is back. We're making sure they understand the product investments were making because we've been talking about product investments, but these product investments take time to put on all these aircraft and a lot of our customers will see that for the first time in 2013. And they'll notice significant improvements in our product offerings. We're doing all we can to get our customers back. We're having -- we've got dinners around the system with our global services customers. I mean, we're being very active to make sure our customers understand that United is back. We're back on track. We continue to invest, and we're the airline for them to fly. And I'll ask Jim to add anything he'd like to add.
James E. Compton: Josh, the only thing I would add to Jeff is that, one, obviously, we don't -- it's not about hope, as Jeff mentioned, it's about what we -- the network is actually the one sustainable differentiator we have versus our competitors because it is the best network. And so as Jeff mentioned, it's about communicating to our customers, both our high-level customers, our corporate customers, all those things are going on right now. But at the bottom of it is it's back to talking about the great value that this network brings to our customers, and that's the differentiator for us. That's sustainable. It can't be replicated and that's why we're very excited about where we're headed.
Josh Freed: Okay. I mean, did you end up having to offer any concessions on corporate pricing as a result of the trouble over the summer?
James E. Compton: We won't -- we don't comment on pricing, but the conversation's about the great value of the network.
Operator: We do have time for one more question from The Street, we have Ted Reed online.
Ted Reed: So I just want to clarify, the PRASM declines in every region are because massive numbers of passengers booked away to another airline because of the reliability, and now the reliability is back.
James E. Compton: Ted, this is Jim. That was one component of our RASM decline. There's yield pressures. There's competitive pressures. There's pricing pressure from competitors, all the standard things that are out there that can drive -- there's economic slowdown. There's high comps from last year. But clearly, what we want to do is focus on that piece of it that we consider revenue dyssynergy and work our way back. But there's a number of pieces that drive into what our performance would be year-over-year.
Ted Reed: Can I ask this? Do you think that the migration of passengers was so great that it benefited other carriers' RASM noticeably?
James E. Compton: I mean, I don't -- Ted, it would be hard for me to -- obviously, I don't see the other carriers' data and so forth. So what we're focused on is getting back to our leadership position in terms of RASM performance, and that's what we're really focused on right now.
Irene E. Foxhall: Okay, we're out of time. So we'll conclude. Thanks to all of you on the call for joining us today. Please call Media Relations if you have any further questions, and we look forward to talking to you next quarter. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.